Operator: I would now like to turn the conference over to your host Gary Fishman, Investor and Media Relations for Rick’s Cabaret International. Please go ahead. I would now like to turn the conference over to your host Gary Fishman, Investor and Media Relations for Rick’s Cabaret International. Please go ahead. I would now like to turn the conference over to your host Gary Fishman, Investor and Media Relations for Rick’s Cabaret International. Please go ahead. I would now like to turn the conference over to your host Gary Fishman, Investor and Media Relations for Rick’s Cabaret International. Please go ahead.
Gary Fishman: Now here is Eric Langan, President and CEO of Rick’s. Eric? Now here is Eric Langan, President and CEO of Rick’s. Eric?
Eric S. Langan: Cash generating power of the company was very strong as reflected by our adjusted EBITDA. It reached $9.2 million up 23.1% year-over-year. This quarter we also introduced a new disclosure item called pre-opening costs, and this will include all expenses incurred before a new club or restaurant opens for business so that investors can get a better understanding of our core operating profitability. Cash generating power of the company was very strong as reflected by our adjusted EBITDA. It reached $9.2 million up 23.1% year-over-year. This quarter we also introduced a new disclosure item called pre-opening costs, and this will include all expenses incurred before a new club or restaurant opens for business so that investors can get a better understanding of our core operating profitability. Clubs and restaurants, in particular Rick’s Cabaret New York and Vivid Cabaret in New York benefited from the Big game in early February and to a lesser extent, the Big East College Basketball Tournament. Nonetheless, both New York clubs built momentum during February with Vivid Cabaret New York’s March sale higher in March than they were in February and Rick’s Cabaret New York’s March sales representing 35% of the unit’s quarterly take. Clubs and restaurants, in particular Rick’s Cabaret New York and Vivid Cabaret in New York benefited from the Big game in early February and to a lesser extent, the Big East College Basketball Tournament. Nonetheless, both New York clubs built momentum during February with Vivid Cabaret New York’s March sale higher in March than they were in February and Rick’s Cabaret New York’s March sales representing 35% of the unit’s quarterly take. We are currently working on additional restaurant/sports bar locations and our objective is to have 10 locations open on in development by the end of calendar year 2014, principally clustered in Texas, but others possibly in select cities that have significant tourist and convention traffic. We are currently working on additional restaurant/sports bar locations and our objective is to have 10 locations open on in development by the end of calendar year 2014, principally clustered in Texas, but others possibly in select cities that have significant tourist and convention traffic. With that let's open the line for questions. Operator? With that let's open the line for questions. Operator?
Operator:
Unidentified Analyst : Hey Eric.
Eric S. Langan: Hey Nate, how are you?
Unidentified Analyst : Good, how are yourself?
Eric S. Langan: Good, good.
Unidentified Analyst:
Eric S. Langan: And in fact we just want to be very accurate on our numbers and with these expenses coming and our model show us that by adding these expenses that we’ll need to – our earnings will come in line with the numbers that we put out today. And in fact we just want to be very accurate on our numbers and with these expenses coming and our model show us that by adding these expenses that we’ll need to – our earnings will come in line with the numbers that we put out today. And in fact we just want to be very accurate on our numbers and with these expenses coming and our model show us that by adding these expenses that we’ll need to – our earnings will come in line with the numbers that we put out today.
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan: Thank you.
Operator:
Unidentified Analyst:
Eric S. Langan: That is correct, we never include acquisitions in our guidance and so we could actually close.
Unidentified Analyst:
Eric S. Langan: We’ll probably wait for the next quarter to do any kind of a guidance update.
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: Okay.
Eric S. Langan:
Unidentified Analyst: Okay great thank you.
Eric S. Langan: You bet.
Operator:
Steven Martin – Slater Capital Management LLC :
Eric S. Langan:
Steven Martin – Slater Capital Management LLC : Okay.
Eric S. Langan: Gary is going to do that.
Steven Martin – Slater Capital Management LLC : Can we’ll go back to Club O and to new how, what’s the financing going to look like and what would you expect the run rate to be prior to getting it converted?
Eric S. Langan:
Steven Martin – Slater Capital Management LLC : Right.
Eric S. Langan:
Steven Martin – Slater Capital Management LLC :
Eric S. Langan:
Steven Martin – Slater Capital Management LLC : Now have you seen any impacts on the Rick’s Club from the Vivid Club, so if Vivid has a good night does that mean Rick’s didn’t?
Eric S. Langan:
Steven Martin – Slater Capital Management LLC : And the Vivid Club and obviously it’s up even though it’s sort of shaping out, but how do you think the operating margin is going to look?
Eric S. Langan:
Steven Martin – Slater Capital Management LLC :
Eric S. Langan:
Steven Martin – Slater Capital Management LLC : Okay. Thank you very much.
Eric S. Langan: Yeah.
Operator:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: So what you are saying is the Rick’s public shares will stay as it is?
Eric S. Langan:
Unidentified Analyst: What’s your general feeling about the price of the stock, it’s kind of 44 right now.
Eric S. Langan:
Unidentified Analyst: Or disclose that is.
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan: Any time.
Operator:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: Okay, okay, great, thanks.
Eric S. Langan: Thank you.
Operator:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: The rent.
Eric S. Langan: Right it will be rent extension for us, right.
Unidentified Analyst: And then as far the liquor license associated with each of the property they would just transfer over to the REIT
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: Okay, great thank you.
Eric S. Langan: Thank you.
Operator:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst:
Eric S. Langan:
Unidentified Analyst: Got it, thank you again and congratulations on a solid quarter.
Eric S. Langan: Thank you.
Operator:
Gary Fishman:
Operator: